Operator: Good day, ladies and gentlemen, and welcome to the Autodesk Q2 Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would like to introduce your host for today's call, Mr. David Gennarelli, Senior Director of Investor Relations. Sir, you may begin.
David Gennarelli - Senior Director-Investor Relations: Thanks, operator. Good afternoon. Thank you for joining our conference call to discuss the results of our second quarter of FY 2016. Also on the line is Carl Bass, our CEO; and Scott Herren, our CFO. Today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investors. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments, and we will not repeat them on this call. During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the company, such as our guidance for the third quarter and full year FY 2016, our long-term financial model guidance, the factors we used to estimate our guidance, including currency headwinds, our transition to new business models, our market opportunities and strategies, and trends for various products, geographies and industries. We caution you that such statements reflect our best judgment, based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time-to-time with the SEC, specifically our Form 10-K for fiscal year 2015, our Form 10-Q for the period ended April 30, 2015, and our current reports on Form 8-K, including the Form 8-K filed with today's press release and prepared remarks. Those documents contain and identify important risk factors and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented on the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of our GAAP and non-GAAP results is provided in today's press release, prepared remarks, and on the Investor Relations section of our website. We will quote a number of numeric or growth changes as we discuss our financial performance. And unless otherwise noted, each such reference represents a year-on-year comparison. And now, I'd like to turn the call over to Carl.
Carl Bass - President, Chief Executive Officer & Director: Thanks, Dave, and good afternoon, everyone. We continue to be pleased with the progress of our business model transition. Strong billings, deferred revenue growth and recurring revenue growth were highlights in the second quarter. 55% of the second quarter revenue was recurring compared to just 44% in Q2 last year. What's more, our ARR, or annualized recurring revenue, increased 23% year-on-year in constant currency. That's real progress on the business model transition ahead of what will be the bigger transition period when we discontinue selling new perpetual licenses. We'll talk more about ARR and its importance at our Investor Day event next month. We're also pleased with the growth of new model subscription types. They continue to show strong year-over-year and sequential growth. Subscription additions in Q2 were led by desktop subscriptions, again comprising more than half of our total subscription adds for the quarter. Since we launched desktop subscriptions last year, we've seen a steady increase in volume and an increase in the percentage of annual contracts, which is now approximately 80%. As expected, AutoCAD LT continues to lead all desktop subscription products, which is important because LT has historically been our highest volume product and represents the biggest opportunity to convert non-subscribing LT customers. Our channel partners have also been steadily increasing their desktop subscription business. In Q2 last year, approximately 40% of our desktop subs came through our channel partners, and that has increased to approximately 60% this past quarter. Total maintenance subscription additions for the quarter were lower than expected. Despite strong attach and renewal rates, we no longer offer upgrades for non-subscribing customers and we simply had fewer opportunities to attach a maintenance subscription. Our focus for the rest of the year will continue to be on converting non-subscribers to subscribers. One area that helped drive billings, but was neutral to the subscription count, was an uptick in multi-year maintenance subscriptions. We removed the discount for multi-year maintenance subscription and that prompted a surge of activity. The upside for Autodesk is securing the relationship with the customer for multiple years and collecting the cash up front. We're quickly approaching the end of this fiscal year when we stop selling new perpetual licenses for stand-alone products. We started the process in Q2 when we stopped selling new perpetual licenses for AutoCAD LT in Australia and New Zealand. The results were very much in line with our expectations. We experienced a surge of buying perpetual LT licenses prior to the cut-off date. Combined seat volume in perpetual LT and desktop subscription LT grew on a year-over-year basis. This is clearly a positive data point as we look ahead to the end of sale of perpetual licenses for most individual products at year end. Looking at the AEC industry, BIM adoption continues to fuel our business in addition to the general strength of the commercial construction market. We're excited about our cloud-based products like BIM 360 and the recently introduced A360 Collaboration for Revit, which connects building project teams with centralized access to BIM project data in the cloud. This new product had a great win in Q2 where it displaced a competitor on a major U.S. airport project. On the structural engineering side, our new offering, Advance Steel, gained momentum with numerous competitor displacements in the quarter. Looking at our manufacturing business, our automotive solutions continue to lead the way. We can count almost every car company in the world as a customer. There is broad use of products from conceptual design, all the way through manufacturing, and we've seen substantial expansion of the use of our products throughout the auto industry. And we're really encouraged by what we're seeing with the adoption of Fusion 360, the first cloud-based 3D CAD system. Fusion 360 connects the entire product development process where users can design, test and fabricate in a single cloud-based tool. Usage is growing quickly and we're delighted to see that the majority of our customers are switching from legacy desktop systems, such as SolidWorks. We'll talk more on how engineering software is moving from the desktop to the cloud at our upcoming Investor Meeting. Our simulation portfolio experienced strong growth in the second quarter with new business centered in automotive, industrial machinery and consumer products. Simulation provides key insights for our customers to design and manufacture better products. We also saw continued investment from large automotive supply chain customers investing in solutions for advanced materials. Our new NASTRAN-based solutions had wins in many new and existing accounts. From a geographic standpoint, it continues to be an uneven environment. Strength in the U.S. is being tempered by continued weakness in Japan. Japan impacts both our APAC revenue as well as our PSEB revenue line, as Japan has historically been a significant market for LT. We also saw weakness in most of the emerging economies and despite recent news to the contrary, we saw strength in China last quarter. Following my comments last quarter, others in the industry have been talking about their approach to the Internet of Things. We believe that capitalizing on this opportunity will require more than applying yesterday's technology. To bolster our efforts in this area, today we announced an agreement to acquire SeeControl, the innovative developer of an enterprise IoT cloud-based platform. The SeeControl service helps manufacturers and system integrators to net analyze control and manage things remotely. Just as we have changed the CAD, CAM and PLM markets with cloud-based products, we are doing the same with Internet of Things, enabling our customers to easily incorporate IoT capabilities into their projects. This is an exciting area, and we are looking forward to developing it. Now let me get back to the business model transition. I'll reiterate that this transition is not just about moving to a subscription model. We are transforming our business and the products that our customers use. The cloud is enabling our customers to think differently about how they approach design, simulation, production and collaboration. I'll also repeat once again that our business model transition will not be perfectly linear, and the amount of business that we transition, the number of subscription additions and the mix of subscriptions issued will fluctuate from quarter-to-quarter and year-to-year. Our transition will not look identical to some of the other high profile software company transitions for many reasons, including a significant difference in our customers' price points, competitive position, our channel, and the fact that we already had a maintenance subscription business that represented approximately 40% of our revenue before we started that transition. We've made good progress in the transition to-date, and we are now ready to accelerate the process. We'll start by ending sales of perpetual licenses of AutoCAD LT in APAC with the exception of Japan at the end of this quarter. Next week we'll announce the date for when we'll stop selling new perpetual licenses for suites, but I'll say that we are accelerating our plans that substantially move up that date. At our Investor Day event on September 29, we'll provide you with our updated view of our model transition and our enthusiasm about the steady state. In the meantime, new disclosures that we made today around ARR, the percent of recurring revenue and the change in the end of sale stage for perpetual licenses illustrate the progress we've made so far and our plans to capitalize on and accelerate this early success. As we look at the second half of FY 2016, we remain confident in our billings and subscriptions outlook. We've updated our revenue outlook based on a greater than expected portion of our sales shifting from perpetual licenses to new subscription types which are deferred and recognized ratably. FX headwinds remain persistent, but they haven't gotten much worse than the first half of the year. We continue to believe that FY 2016 will be more back-end loaded than usual given the deadline for end of sale for new perpetual individual product offerings. To wrap things up, our strong conviction in the model transition is supported by our results. Undergoing this transition will provide our customers with greater flexibility and a better user experience, while creating a more predictable recurring and profitable business for Autodesk in the years to come. Operator, we'd now like to open the call up for questions.
Operator: Thank you. Our first question comes from Brent Thill of UBS. Your line is open.
Brent John Thill - UBS Securities LLC: Thanks. Carl, I just wanted to clarify a comment you made that the lowering of revenues really related to the business model transition, not a material change in the actual core operations or traction you're seeing with your solutions in the market?
Carl Bass - President, Chief Executive Officer & Director: Yes, so, Brent, yes, let me try to be as clear as possible, and, Scott, feel free to jump in. It is really just a transition from – so no change in volume in business. This is really about how we're going to recognize the revenue that comes in. And what we saw in this quarter and we're projecting and in some cases programmatically accelerating is that more of the revenue is going to move to ratable, which is just arithmetic, to get to the fact that revenues are lower, even though there's no change in the fundamental business.
Brent John Thill - UBS Securities LLC: Okay. And just to your comment on Japan. It's been an issue for many vendors, but there's also another issue which I think Adobe has highlighted, that Japan really hasn't made the move to cloud. And I'm curious, as you move the transition to more subscription in cloud, how do you think that market reacts as you start to remove the core? It seems like that may pronounce the weakness there for a little bit longer than perhaps than we think. I'm curious if you could just provide any comments on how you think that will play out?
Carl Bass - President, Chief Executive Officer & Director: Yes, sure, Brent. First of all, I think it is true that as we've seen over the years in adopting new technology and business models, Japan has never been the leader, and I don't expect that to change. I mean, one of the ways that we're doing this transition that does give our Japanese customers a way to change is people who have perpetual licenses and maintenance can continue to stay that way. So we will have avenues for people to continue buying that way, and so for the majority of customers, it will change, but they can control it to some degree. The second thing that's interesting is what I'm seeing which is more anecdotal at this point; there is a split in the Japanese market. So on many of the new things we're doing, so like these new products like Fusion, which is a cloud-based CAD product, we're having dramatically better results in Japan. We're just releasing a Japanese version of the product because it's been so successful, and that kind of runs counter to what we're seeing in the mainstream. So I wouldn't say that this enthusiasm for the cloud trumps what will be traditional customers' way, but there is a new generation that is looking at doing things differently, and there's definitely at least an undercurrent in Japan of that.
Operator: Thank you. Our next question comes from Philip Winslow of Credit Suisse. Your line is open.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks, guys, and I appreciate you taking my question. I just had a question on the subscriber mix that you saw this quarter. If I just compare the press releases over the past couple of quarters here, in Q4 you talked about the majority of the subscriber additions being maintenance subscriptions. In Q1, you said half were traditional maintenance, half were new type. And then this quarter, you talked about the majority of subscriptions being the new subscription types. Just wondering what trend you're seeing there? And also, maybe help us think through just the ARPU of sort of a traditional maintenance sub versus the subscription subs? Thanks.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sure, Phil. As we look at the trend on the subscriber adds we saw in Q1, the previous quarter, for the first time, roughly a balance between the net subscriber adds that were coming in from maintenance versus those coming in from the new model. And in the quarter, we disclosed they continued to be strong. So the new model sub adds that are – they're just two big elements inside our subscription adds, new model and maintenance. The new model sub adds continue to be strong, both year-on-year and sequentially. When you look at the maintenance adds for the last quarter, they actually come in two pieces, too. Renewals, so existing maintenance and then new maintenance sold attached to new perpetual license sales. Renewal rates stayed strong and then on the new sales the attach rates stayed strong. What we're seeing, though, that a little bit of downward pressure on the new maintenance adds is really a different pattern this year versus what we saw last year. Last year when we announced the end of sale of upgrades we saw a pretty linear path of customers buying those upgrades throughout Q2, Q3 and Q4, about the same each quarter. What we're seeing this year is the customers that are going to buy perpetual license at the end of the sale are more back-end loaded. We saw this with the test that we ran in ANZ where it was closer to the end of the actual end of sale in Australia and New Zealand that, that buying activity took place. And we've said all along we think this is going to be a back-end loaded year because of that and that's really the trend that we're seeing inside the subscriber adds.
Carl Bass - President, Chief Executive Officer & Director: Then talk about the difference in...
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): In ARPU?
Carl Bass - President, Chief Executive Officer & Director: Yes.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. When you look at ARPU, of course, the overall blended ARPU of those two types is quite different. And even within each type it's very sensitive to whether you're talking a desktop subscription for LT versus a desktop subscription to PrDS. So it's blended to such a level that it's hard to glean a lot of intelligence at the summary level. But when you look between just the average price of a desktop versus the average price of maintenance, a good example would be AutoCAD and an annual maintenance there sells for between 15% and 20% of the SRP of the new license versus a desktop license for a year would sell at about 40%. So, using that as an example, it's roughly half.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Got it. So in other words you did a higher mix of your higher ARPU subscribers as far as the new adds this quarter?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. That's correct.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Got it. Cool. Thanks, guys.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes.
Operator: Thank you. Our next question comes from Steve Ashley with Robert W. Baird. Your line is open.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Oh, terrific. I wonder if you could go back through, you talked about the growth in long-term deferred revenue and you had talked about seeing some long-term contracts with maintenance and something about some dynamic around the renewal of maintenance. Can you just walk us through what drove that growth in long-term deferred revenue on maintenance?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, sure. Carl mentioned in his opening commentary, we had a strong quarter for multi-year maintenance sales. And so you know what drops in the long-term is anything that's deferred beyond 12 months, and when you sell multi-year there's a bigger component to that than normal. So that's what's driving a bit of an outsized growth. The deferred revenue in total was quite strong, up about $80 million sequentially quarter-on-quarter, driven by what we just said, the higher mix of our sales coming in ratable models versus up front. And then within those ratable models most of your maintenance was strong. And so that dropped an element in the long-term versus current.
Carl Bass - President, Chief Executive Officer & Director: And, Steve, what really drove it was we offered a discount for people who were paying up front for multiple years before we announced the elimination of that discount, and so people wanted to get in on it, at least some of it, before that offer expired. So it drove a little bit of business.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sort of a bump in multi-year.
Carl Bass - President, Chief Executive Officer & Director: Yes. It just drove multi-year. It didn't drive subscriber count and had no effect on revenue essentially.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Well, that's the other interesting point is that when you add a multi-year, it's still just one subscriber, so it boosts the billings line, it doesn't necessarily bump the subscriber line.
Carl Bass - President, Chief Executive Officer & Director: Yes.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Okay. And then I was going to ask about the desktop subscription traction you're getting in the channel. What percentage of that is LT? I mean roughly, I'm not looking for a number.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. It's the largest individual piece.
Carl Bass - President, Chief Executive Officer & Director: Yes. And it matches the product mix. I mean the one thing I would say about adoption of desktop subscription, just to step back a little bit, is I won't particularly say any industry or product line is any more inclined to do it or not. It seems like our customers are endorsing the move to the new model, and it's pretty consistent across the board.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): All right. Thank you.
Operator: Thank you. Our next question comes from Heather Bellini of Goldman Sachs. Your line is open.
Heather Anne Bellini - Goldman Sachs & Co.: Great. I had two questions, if you don't mind. The first one, I'm just I guess trying to reconcile again the comments about the transition kind of accelerating with subscription adds showing up of only 61,000 in the quarter. I mean, I know we don't have a ton of history with that, but I'm just trying to reconcile that comment, if you could give some color there? And then secondarily, I noticed obviously you guys started giving out annualized recurring revenue. And I know that the definition of that is in the glossary, but the 55% that you're showing, the recurring revenue in the table that you have, if we just take subscription revenue I think and divide it by your total revenue, that's about 52% I think of revenue. So is that ARR if we were to try and translate that into numbers? Is that about, I don't know, $18 million or $20 million higher than what your subscription revenue line is showing? I'm just trying to get a sense of what you want us to do with that number besides look at a percentage that's growing. And I want to make sure I'm translating it into dollars appropriately. Thank you.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sure, Heather, sure. On your second point, the reason we start to give that out is as we go through the transition and we're in this somewhat hybrid state where we're selling both new model types and perpetual license types, obviously the faster we make the transition, the more people that buy the new model types, the faster recurring revenue, both on an annualized basis and in any given quarter will trend. And so that's the point of providing that and we'll spend more time talking about this...
Heather Anne Bellini - Goldman Sachs & Co.: No, no. I know why you're providing it. It's not about why you're providing it. How are we supposed to interpret the 55%? Is that annualized recurring revenue, the 55% you're pointing to, I'm just trying to confirm, is it 55% of the $613 million that you reported, which compares to your subscription revenue, which is about 52% I think off the top of my head of the total? I mean, I'm just trying to get behind the number because...
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sure.
Heather Anne Bellini - Goldman Sachs & Co.: ...you're not giving us the dollar amount; you're giving us a percentage. I want to make sure I'm thinking about the percentage the right way.
R. Scott Herren - Chief Financial Officer & Senior Vice President: You are. It's actually 55% of the $610 million that we reported, but that's right. You're thinking about it...
Heather Anne Bellini - Goldman Sachs & Co.: Yes. Okay. Perfect. Okay. And then to the first question?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. On your first question, the – I'm sorry, do you want to...
Carl Bass - President, Chief Executive Officer & Director: No. Go ahead, Scott.
R. Scott Herren - Chief Financial Officer & Senior Vice President: So, the acceleration that we're talking about again is the acceleration of the transition. And so what you see within the subscriber adds is both new model adds and old model adds, if you want to think of maintenance that way. The new model adds continue to accelerate and so the growth right there both year-on-year is huge. Even it's strong sequentially for the new model adds. And that's why you see us taking actions like going to end of sale in LT in APAC at the end of this quarter everywhere except Japan and we'll announce next week when we hit end of sale for perpetual on suites. So that's the acceleration and that's what is showing up in the subscriber adds.
Carl Bass - President, Chief Executive Officer & Director: And the one other comment that we put in there that may have been slightly too obtuse was this idea that what we're seeing with these end of sales is that people are not buying – they're not taking advantage of it until late in the promotion. And so for example, the opportunity on some of these things to attach maintenance to, they're not availing themselves of it. And so I think we will see some unevenness in these numbers on both the maintenance, old maintenance and new subscription as we go through the next two quarters and into next year before we terminate the program. So there'll be a little bit of volatility there and it's behavior that we're at this point really not that good at predicting. We've never gone through this transition of doing the end of sale of either the individual licenses or the suites. So it's a one-time phenomenon. I think all of us will be slightly imperfect at predicting that.
Heather Anne Bellini - Goldman Sachs & Co.: Thank you.
Carl Bass - President, Chief Executive Officer & Director: Sure.
Operator: Thank you. Our next question comes from Jay Vleeschhouwer of Griffin Securities. Your line is open.
Jay Vleeschhouwer - Griffin Securities, Inc.: Hi and thank you. Carl, with respect to the termination of the suites, just to be sure we understand what you're saying, you are moving it up from the end of fiscal 2017 as previously planned and so in effect, you've decided to have a rip the BAND-AID moment off, the way Adobe decided to do three years ago. They originally started with a longer transition period in mind and then of course they went to do it much more quickly. So you are in effect doing something similar now. Is that what you mean to do next week?
Carl Bass - President, Chief Executive Officer & Director: Yes. I mean, so in essence, you're right. I'm not sure we've ever exactly announced what it was, but I think we certainly intimated it clearly enough. And yes, I think what we saw, we wanted to make sure that both our customers and our channel partners were ready for this transition, and we started out with a model of this that enabled us to take longer to do it than folks like Adobe did. And what we've seen is a willingness, a huge willingness on the part of our customers to use this new model. In many ways, it's much more favorable for them. And then secondly our channel partners, which we told you were always very vulnerable if we did the rip the BAND-AID off in the beginning, are successfully transitioning their businesses and their customers through this. And so just like many of you, and I can't tell you how many of you have told me, why don't you rip off the BAND-AID? Yes, we're going to have a rip the BAND-AID off moment, and we'll give you the details on it next week and then we can certainly talk about it a month from now when we all get together. But that was exactly what it was about, and in many ways, this is really beneficial for us. It is non-trivial to run the two things simultaneously. Also we've just in terms of reporting financially, it makes some of the results somewhat confounding. Just, how does this go up and not this go up? And all this does is it accelerates that transition for customers, resellers and certainly for the financial community. And so earlier next year than we had previously planned, we come out of that and start seeing also the economic benefits of that as well.
Jay Vleeschhouwer - Griffin Securities, Inc.: You've alluded now a couple of times to the readiness of the channel. To the extent that you do accelerate the business model transition, would you necessarily accelerate the change in the channel model itself, in other words the agency or fee model that we've talked about a number of times? Would the two necessarily go hand-in-hand, as you've also alluded to in the past?
Carl Bass - President, Chief Executive Officer & Director: Yes, I mean as you know we are constantly adjusting the channel model. At the very least, it's an annual phenomenon around here. And much of it is kind of carefully planned with the other programs that are in place and in consultation with our partners. And so we've worked really closely with them and many of the things that we think were appropriate for the beginning of the transition we've put in place and we've talked about them before, and as we get towards the end of the transition, we'll move through to those things that we said were coming. So I think every part of it has to move together to make sense. And so with the acceleration of the announcement of the end of sale, along with it go channel programs and incentives and a number of other things.
Jay Vleeschhouwer - Griffin Securities, Inc.: All right. If I could maybe just squeeze one more in, you alluded to focusing on...
Carl Bass - President, Chief Executive Officer & Director: Well, who would stop you, Jay?
Jay Vleeschhouwer - Griffin Securities, Inc.: Maybe Scott.
R. Scott Herren - Chief Financial Officer & Senior Vice President: No, go ahead.
Jay Vleeschhouwer - Griffin Securities, Inc.: Thanks. So you alluded, Carl, that in the second half you would focus on unattached or non-maintenance paying customers. Setting LT aside, are you referring specifically to the upgraded but not attached base that was part of the 2.9 million, that famous number from the Analyst Meeting last year?
Carl Bass - President, Chief Executive Officer & Director: Yes, yes. The famous 2.9 million.
Jay Vleeschhouwer - Griffin Securities, Inc.: Right. But...
Carl Bass - President, Chief Executive Officer & Director: That's exactly it.
Jay Vleeschhouwer - Griffin Securities, Inc.: Okay. But of that, 1.3 million was upgraded, not attached, not counting LT. So that's the number you're going to be converting?
Carl Bass - President, Chief Executive Officer & Director: Yes.
Jay Vleeschhouwer - Griffin Securities, Inc.: Okay.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Well both, Jay. I mean, we'll focus on that LT base as well, right? So the goal will be to, in addition to acquiring new customers with the new models, which we're doing nicely, will be to progressively go after that legacy base, LT and non-LT.
Carl Bass - President, Chief Executive Officer & Director: And one of the things that has been a very pleasing upside is just because of the price points and the difference in characteristics amongst our LT customers, we were more anxious about them and the new model transition, and if anything, the adoption there has been as strong as in any other part of the portfolio. And I think we mentioned the one place that we're nervous, which is Japan, which is certainly meaningful in terms of LT, but when you look at, for example, the other industrialized countries, Western Europe, United States, we just don't see much difference there. And fortunately, that simplifies the programs and allows us to do more things holistically. And yes, in a way that makes sense and is easier to communicate to everybody. So we're just going to continue to do that and we're really pleased to see the LT customers coming along.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, and the upside there, of course, is LT had the lowest attach rate previously. When we sold our perpetual, it had the lowest attach rate of maintenance, and so seeing that LT customer set move to desktop gives us a chance to bring them along with us and to pull them in as subscribers.
Jay Vleeschhouwer - Griffin Securities, Inc.: Okay. Thank you.
Operator: And your next question comes from Gregg Moskowitz of Cowen and Company. Your line is open.
Gregg S. Moskowitz - Cowen & Co. LLC: Okay. Thank you very much, and good afternoon, guys. So you had a pretty big uptick, actually a very big uptick in subscription billings, up 52% year-over-year but I was hoping, Scott, that you could parse this a little more for us. Can you tell us how much of this growth roughly came from greater end market customer acceptance of your subscription program as opposed to a lengthening in terms just by virtue of the increase in multi-year subs that you referenced?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. It was both but, of course, the size of our maintenance base is so much bigger, just the base that we've built up over the last 10 years. The number from a pure number standpoint it overwhelms, but we saw strong growth both – crazy growth year-on-year in the new models but strong growth sequentially. But multi-year maintenance also drove a big chunk of that subscriber billings upside and that's just a function of the size of that install base moving.
Gregg S. Moskowitz - Cowen & Co. LLC: Okay. Thanks. And then maybe just one for Carl; if you could sort of talk about what you're seeing in terms of activity levels on your eStore, and just when do you expect that eStore could become material for you guys? Thanks.
Carl Bass - President, Chief Executive Officer & Director: Yes. I mean, the eStore at this point is becoming material. I mean, we're getting to the point we'll start reporting, maybe we'll start giving you some insight into it, but it is becoming a sizable portion of the business. And I'd say one way to think about it is there's our eStore, but there's just electronic distribution and sales that includes many partners all the way from folks like CDW, Dell and Amazon all the way to our traditional partners doing online distribution. So electronic sales and distribution is becoming more important. Our eStore, we continue to sell it at this price. So it is a reference marker out there but many people just buy for convenience through there and it's growing substantially. And so quite a good point to take away is we're preparing for Investor Day and talk a little bit more about the electronic channel. But they're clearly the wave of the future and in particular, as we look at many of our new products, many of them are almost exclusively through the electronic channels or at least starting out more even with our traditional channels.
Gregg S. Moskowitz - Cowen & Co. LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Walter Pritchard of Citi. Your line is open.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Great. Thanks. Scott, I wonder if you could talk about the rental uptick you're seeing and how that may differ or not in manufacturing vertical versus the AEC space?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Walter, we're not seeing a big – Carl touched on this earlier. We're not seeing a big difference in the uptake rate either by product or by industry vertical at this point. I mean, I guess if you look at it by geo, you might see a slightly slower uptake of the new model types in Japan. But holding that aside, we really are seeing a pretty consistent uptake in the new – the desktop subscription model, which is the rental model, across product lines and across segments.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Got it. And then, Carl, you're buying this, the company on the Internet of Things side and it just seems if I put myself in your place, you guys have quite a bit going on. I guess how do you avoid getting distracted here with a big business model transition and you're now entering a new market, it seems like that could be a risk.
Carl Bass - President, Chief Executive Officer & Director: Yes, I mean, well, one of things I'll say, we do acquisitions all the time, kind of routinely. But if you want to step back for a minute and just look at Autodesk in general, there are two big things we're doing. The first one is the business model transition. We've spent a lot of time in the prepared remarks as well as already on the Q&A talking about lots of that and I'm sure we will continue for the next number of months. What sometimes gets lost with all the conversation about that is that we were probably in the biggest transformation in the engineering and design software space we've ever seen, so as big as mainframe to workstation or workstation to PC, the shift of engineering software moving to the cloud is as big and more inevitable than any of those other transitions. And the alternative to doing acquisitions like SeeControl is to miss out on big parts of the market and we just look and say, well we want to come out of this as not only a more sustainable, less volatile model on the business we have today, we wholly expect to be the leaders in cloud computing for engineering and design and one of the ways to do that is to continue to develop stuff internally, the other is through acquisitions, and whether it's stuff we're doing with PLM 360 or BIM 360 or what we'll do with the Internet of Things, on that side, we think that's really important. And I would at least urge you to look at both the lack of competitive movement there. Most of our competitors don't think the cloud is that important for their customers. They're making halfhearted to nonexistent attempts to do anything about it. It's a bury your head in the sand kind of strategy. So when you look at it, they are, particularly in legacy business, whether in PLM or anything else. So we've let these things like the Internet of Things or moving CAD or PLM or CAM to it as being a critical part of what Autodesk looks like a handful of years from now.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, and, Walter, the other think I would just add to that, because your question was about distraction, I don't see Internet of Things as a net new segment for us. It fits very much hand-in-glove with where we're headed in manufacturing, and where we're headed in AEC. So it's more of an adjunctive to a couple of pretty strategic segments we are already in, than it is something that's net new that we're adding to the plate that we now have to build entirely different structures for.
Carl Bass - President, Chief Executive Officer & Director: Yes. I think some others in the market have positioned it as a new segment. I think Scott is absolutely right, and if you just break it down a little bit, I don't know anyone building commercial buildings nowadays who are not thinking about instrumenting and monitoring their buildings to improve the efficiency of running their operations. And whether that's a commercial real estate or industrial space such as a factory, or a power plant, everybody is doing it. I think very few people are designing new products that aren't number one, enhanced by Internet of Things technology. And I think most everybody is trying to collect data and analyze it so they can build better products for the future. And so this is really kind of the foundation of technology to get that started, and we certainly have more work to build into a business. But I think it dovetails exactly with our existing businesses.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Great. Thank you.
Carl Bass - President, Chief Executive Officer & Director: Sure.
Operator: Thank you. Our next question comes from Anil Doradla of William Blair. Your line is open.
Unknown Speaker: Hi. This is Maggie Nolan (38:56) in for Anil. My first question is on the new incentives. You mentioned that there had been a discount for customers buying subscriptions up front. And I'm wondering are there any other incentives that you will be rolling out to help accelerate the transition to the subscription base and how you hope to achieve that subscription that we'll need to see in the second half, given that that's where your guidance has remained consistent?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. So, let me just be clear on this one. So the first one was, what we were trying out on the subscriptions was the renewal – was the removal of a promotion. And people buying ahead of that removal.
Unknown Speaker: Okay.
Carl Bass - President, Chief Executive Officer & Director: And so that was just the discounts going away, and people just saying I want to buy now and pay less. What I think you will see going forward is we will continue to promote the move to desktop subscriptions. We'll talk a little bit more about it next week and beyond that and I think if anything, the bias right now, is to accelerate that and promote it more. Having seen the success we saw was to kind of double-down on that and encourage people to move more quickly. I think it serves all of us well to do that.
Unknown Speaker: Okay. Makes sense. And then my second question was you mentioned that China wasn't much of a headwind in the second quarter. I'm hoping you can give a little more color around your view on that going forward? And what kind of limited that headwind in the second quarter?
Carl Bass - President, Chief Executive Officer & Director: I wish I could. That is one of the confounding things amongst many. Yes, there are certain places in which the economic reports coincide nearly perfectly. We're seeing really strong business in the U.S. and all the economic reports out of the U.S. including the one this morning continue to be strong. And it actually lines up with everybody's kind of impressions. You walk around major cities and there are cranes everywhere, the job market is tight, unemployment is low. China always on the reporting side is a little bit of a trickier place to actually understand and I don't really understand to what degree and the flip side of that is Japan is where there's definitely some dissonance between our results and the overall economic one. We're digging into it a little bit more to understand. I'd say at this point we have an imperfect understanding and just for everyone, I mean, we spend a little bit of time trying to understand it. But in some of these things, when it goes beyond what's actionable and what we would do differently as a result of understanding it, it starts being diminishing returns for us to play macroeconomists.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, Maggie (41:41), maybe the better way to think about China is to step back and say what drove that growth in the quarter, and it's obviously China is a very active construction market. I've been there, as Carl said, you see cranes everywhere. BIM is actually taking off in China. You look at major projects like the new Shanghai Tower and it's being built with BIM start to finish. So that's what's fueling the growth. I think the second part of your question what to expect given the events of the last five days or six days, that's the one where it's kind of a, who knows, at this point.
Carl Bass - President, Chief Executive Officer & Director: Yes. Some of our theories include things like the government has been putting a lot of money into infrastructure projects and some of their injection into the economy are things that generally benefit our kinds of customers but that's a little bit of speculation on our part. But it is possible and once again, it's one quarter data point now that we're kind of lined up we'll see going forward what we see in the next quarter.
Unknown Speaker: Sure. Great. That helps. Thanks for taking my questions.
Carl Bass - President, Chief Executive Officer & Director: Okay. You're welcome.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sure.
Operator: Thank you. Our next question comes from Sterling Auty of JPMorgan. Your line is open.
Sterling Auty - JPMorgan Securities LLC: Yes. Thanks. Hi, guys. I've gotten a few emails from investors. There's a lot of terms being floated around during the call and I think there's some confusion. Can you clarify for investors when you talk about the new model, how much of that are you talking about in terms of pure product subscription versus maintenance versus anything else. Just clarify the term for some of the investors.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Sure, Sterling, and we started talking about this last quarter as well. And when I say new model I'm thinking of certainly desktop, cloud and our enterprise business agreements. So everything that is ratable and subscription based is what I would drop into the new model. And then if you look at what's not there, obviously the biggest chunk is our maintenance business that's tied to our perpetual licenses, and then there's some smaller consulting and some smaller CFIN and some other bits. But think of new model as desktop, cloud and EBA, largely.
Sterling Auty - JPMorgan Securities LLC: Okay, great. And the other big topic for last couple of weeks from investors is, Carl, go back to that Analyst Day when you talked about the 12% billings CAGR, 20% uplift in customer value, 50% increase in subscriber, especially that 12% CAGR in billings has been the one that's been on investors' minds. Can you either comment tonight or at least give us some idea if you're going to talk about how that actually shapes out under the new accelerated transition when we get to Analyst Day?
Carl Bass - President, Chief Executive Officer & Director: Yes, I think probably the best thing to do is to tell you that we will talk about it at the Investor Day, and what we will do is we will update the financial model and our understanding of how the transition continues. And so we'll show you lots of detail about that and hopefully remove some of the confusion that exists about how we go about it. And what we did a little bit as a preview is to start pointing at some of the metrics that we think are more appropriate to understand the transition. We told you at the time, some of these were our best guess and mapped most easily to the history before it, and we said as we learned more about it and understood it better and would better pinpoint the things that we're looking at. And I think we did that today and we'll do more of it at the upcoming Investor Day.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, Sterling, your notes have actually touched on a lot of the key dynamics in that transition as we move from a hybrid cloud model to one that is much more pure subscription model.
Sterling Auty - JPMorgan Securities LLC: No, I appreciate that. Last quick one, as you look at the last two quarters and the subscribers, is there anything in terms of seasonality or dynamics that would change one quarter versus the other in terms of total number of subscribers that we might expect or the mix in terms of those that are pure product subscription or desktop subscription customers?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, I think obviously that the big effect that we'll see on total subscriber adds in the second half will be the attach rate, which we've said our attach rate of maintenance has grown materially over the last four quarters. It continues to be strong, and so as we see that end of sale of perpetual licenses at the end of Q4, a lot of those perpetual licenses with our current attach rate, that will drive a significant uptick in subscribers in Q4. For the new model types, they continue to grow – we're not seeing any seasonality in the new model types yet. They're growing year-on-year and they're growing sequentially at this point.
Carl Bass - President, Chief Executive Officer & Director: Yes, I think we'll begin to understand seasonality in them later, but right now, they're so overwhelmingly affected by our promotions and the timing of announcement like end of sales that I would say that's certainly the first order effect and any seasonality is the second order one that won't get sorted out till later.
Sterling Auty - JPMorgan Securities LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Keith Weiss of Morgan Stanley. Your line is open.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. Thank you, guys, for taking the question. Maybe just dig in on that subscriber count a little bit. Last year you guys saw a big seasonality into the second half of the year as upgrades went out, I think it was up like 36% from the first half into the second half. This year to get to the midpoint of your guidance you're looking for an even bigger seasonality and it seems like the answer of sort of how you get that bigger seasonality is the expiration of perpetual licenses on a significant part of your product portfolio. So it's a two-part question, like, one, is that the right view, that is sort of primarily what you see, sort of a bolus of (47:35) subscribers into the back half? And two, maybe a little bit more philosophical, how do we understand sort of the true level of underlying demand when the past two years have been heavily influenced by these expirations? Or how do you guys get confidence into the level of underlying demand?
Carl Bass - President, Chief Executive Officer & Director: So the answer to your first question is yes. You're fundamentally thinking about it correctly, and we do expect it to be much more back-end loaded because of the size and the importance of the products that will no longer be sold beyond the end of the year.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes. But just for a bit of an order of magnitude on that, we talked about it being roughly half of our new model types. So not maintenance attached to perpetual, the new stuff, being roughly half of Q1 and better than half of our Q2 sub adds. So you can start to get a sense of it's not a new material – it's not a huge revenue driver at this point, in terms of our subscriber adds, it is a pretty significant chunk of our subscriber adds; the new model types. But yes, fundamentally what will drive the significant uptick in the second half is the end of sale of perpetual at the end of Q4.
Carl Bass - President, Chief Executive Officer & Director: And then secondarily, just on the more philosophical, what we keep on emphasizing and we'll give you more insight to in a month, is that the business level remains where we expected it. The big difference is the way people are choosing to buy the products. It's not about the underlying business demand. It is fundamentally about the way they choose and, therefore, with the way they choose the way we account for that. And that's why we as well as you I'm sure are looking forward to when it all becomes back to a single model. We told you at the very beginning of this that the hardest part was going to be running a hybrid model where you have two, because goodness in one model looks like badness in the other and vice versa. They just eat away at each other and so getting back to a more holistic single model will be good, and that's back to Jay's comment about ripping off the BAND-AID. What we said, and we'll give details next week, is we're going to do that sooner than we were otherwise planning on doing.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Got it. Got it. On the SeeControl acquisition, I think Walter was talking about the potential for distraction coming from SeeControl. I think the other risk that investors see is OpEx growth coming from it. The longer-term target is assumed there'll be relatively muted OpEx growth over the next couple of years. Is SeeControl or acquisitions of this type, is that putting that let's call it mid-single digit OpEx growth profile for the next couple of years, does that put it at risk, by any sense?
Carl Bass - President, Chief Executive Officer & Director: Not at all. The acquisitions like SeeControl and the others are all within the same envelope. When we gave that guidance, and as we move through it, we're consistent to that. We presumed it in the beginning even though we didn't know which acquisitions, and as we consider them internally, they are all within that. And you saw the OpEx growth this quarter that kind of – I mean it's right in line with everything that we told you would be the OpEx growth, and so no. These acquisitions are not at all – and as we've said before, both the small and this one getting to a medium size, wouldn't do that. The only exception I would ever say is if there happened to be a large one, I'm not saying there is one. We are not contemplating it any time. But as you know, large acquisitions and the costs they bring in the first year would affect that. But that is not in the plans and we're holding true to the mid-single digits OpEx growth.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Got it. And then one last one from me, just in terms of free cash flow growth; you guys had talked about free cash flow growth being in line with billings growth. Mix shift has taken the revenues down a little bit, but I wouldn't expect that – that should not probably impact, since billings expectations stay the same, that billings and free cash flow model should stay roughly aligned?
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, that's right. I mean the top line of – so free cash flow the way I would define it, is cash flow from ops minus CapEx. There's no significant changes coming in CapEx. The top line of the cash flow from ops is net income, and that will flow off of billings.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Got it. Excellent. Thank you, guys.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes.
Operator: Thank you. Our next question comes from Steve Koenig of Wedbush. Your line is open.
Steve R. Koenig - Wedbush Securities, Inc.: Hi, gentlemen. Thanks for taking my question.
Carl Bass - President, Chief Executive Officer & Director: Sure.
Steve R. Koenig - Wedbush Securities, Inc.: Just focused on the new model subscriptions here. I'm trying to rationalize some of the commentary with what we heard from the checks in which the desktop subscriptions, that promotion didn't seem to be doing nearly as well as the license plus extended maintenance promotion. And I'm wondering if the – you know, the success that you're having in the new model adds, could it be that given the lower ARPUs for the cloud products, is that helping significantly? And then maybe one follow-up on that as well.
Carl Bass - President, Chief Executive Officer & Director: Yes, no, it's not about the cloud subscription. This is really comparing maintenance subscriptions to desktop subscriptions. I don't know how to answer the resolving it with the channel checks...
Steve R. Koenig - Wedbush Securities, Inc.: Yes.
Carl Bass - President, Chief Executive Officer & Director: ...that's always been a riddle beyond my pay grade. But no, don't think of it as something else and there's something not to understand. This is exactly people moving to desktop subscription for the kinds of products you imagine.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, that's exactly right. And the checks are – I think everyone knows this, but it's very difficult to extrapolate from a small subset to worldwide growth...
Carl Bass - President, Chief Executive Officer & Director: Yes.
R. Scott Herren - Chief Financial Officer & Senior Vice President: ...and it's just always subject to variability.
Carl Bass - President, Chief Executive Officer & Director: I mean, just from your point of view, because of our interactions with the channel is different, we're always somewhere between bewildered and bemused at reading the notes on channel.
Steve R. Koenig - Wedbush Securities, Inc.: Sure. Sure.
Carl Bass - President, Chief Executive Officer & Director: And sometimes they're strikingly accurate and uncannily so and other days we're like did they talk to someone who had a bad day. And so we can tell you what we know about it but I mean, just to be very clear about that think of that as maintenance versus desktop subscriptions.
Steve R. Koenig - Wedbush Securities, Inc.: Okay. So that's helpful. I guess for the follow-up kind of related, so it's not fair to ask you what's different about my checks, but I guess maybe going back to the mix, maybe the mix of people selling the desktop subscriptions. I would just comment we heard that most of the resellers were short of – well short of the goal that Autodesk gets set for them for the year and there was a lot of inconsistency around what that goal was. So, is that – yes, go ahead, sorry, Carl.
Carl Bass - President, Chief Executive Officer & Director: No, no, no, sorry, Steve, go ahead.
Steve R. Koenig - Wedbush Securities, Inc.: Okay. Just to finish it off.
Carl Bass - President, Chief Executive Officer & Director: You were posing the question.
Steve R. Koenig - Wedbush Securities, Inc.: Okay. Yes. Just to close that off, we're guessing that it seems that larger resellers are doing better. Is there a mix differences across the size of the resellers? You're clearly concentrating your efforts on making life better for those large resellers; just maybe any insight there or further commentary.
Carl Bass - President, Chief Executive Officer & Director: Yes. So first of all, sorry for trying to cut you off there.
Steve R. Koenig - Wedbush Securities, Inc.: No problem.
Carl Bass - President, Chief Executive Officer & Director: What I'd say is as we get deeper into this we'll do more analysis on it. Right now we don't have any distribution that looks dramatically different there. I mean, it's certainly an interesting question as to whether or not we're seeing anything there but I would say for the most part we did not see any of that.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Yes, and we haven't structured the back-end so as to be different for large versus small, any more so than the normal channel structure would dictate. So there's nothing there that would favor that.
Steve R. Koenig - Wedbush Securities, Inc.: Okay, okay...
Carl Bass - President, Chief Executive Officer & Director: Yes, you know – yes.
Steve R. Koenig - Wedbush Securities, Inc.: Sorry, Carl, go ahead.
Carl Bass - President, Chief Executive Officer & Director: No, I was just thinking that the mix of distributors and stuff out there and just going – but what we'll try to do is a month from now, we'll try to give you a little bit better insight into whether we see any variability in terms of the performance, but there's nothing that jumps out at us through the analysis of the quarter results that gave us any indication about that. But one thing I would say, though, about goals, and I think sometimes this is misconstrued in terms of people doing channel checks; it is true that sometimes our sales management team gets aggressive when we want new programs. I'm just trying to send a message of what's important. I think in more steady state businesses where we really understand the performance you might set your overall target at 102% of what you expect, and the 2% on for example $600 million a quarter when it's relatively steady state is understandable. When we move to new things, sometimes we get aggressive and sometimes there is a little bit of a – assigned to the channel partners. Just directionally, this is where we expect you to have we think this is what's important and so sometimes some of the sales targets out there are more aggressive and they're definitely not consistent in terms of targets relative to what we think we will attain.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay, well thank you very much for taking my questions.
Carl Bass - President, Chief Executive Officer & Director: Sure.
Operator: Thank you. Our next question comes from Richard Davis of Canaccord. Your line is open.
Richard Hugh Davis - Canaccord Genuity, Inc.: Hey, thanks. So I know the cloud kind of helps you guys compete better, but one of the hardest parts that I hear from guys that are thinking about switching or companies that are thinking about switching from one vendor to another is the fear that the engineers have with regard to their old models won't translate over seamlessly. So how are you guys channeling that concern? Is that still an issue, or is that a legacy issue? Is that a data issue or is it not an issue at all? Thanks.
Carl Bass - President, Chief Executive Officer & Director: Yes, I think this used to be a huge issue in the industry. One of the things that we've done with both our cloud and with the products is hopefully made it more of a non-issue. We will read in models from almost any vendor, dozens and dozens of different formats and operate on them almost as if they're natively. And I think, look, I would be worried if I had a 77 set of plans with 12 million parts in it. So the question is not does it translate, but how do you check that it translated 100% correctly? And so I think there are some industries that will be slower in adopting this, but I think we're getting to the point where the majority, the mainstream of customers, deal with files that come from heterogeneous systems every day and have worked through that and have come to trust that the translation of these things just works well. The one thing that's really good about this is moving this to the cloud has, digging a little bit deeper on the technical side, two nice benefits is that number one is the translations that existed in desktop products we were not able to see and could not see the failures of. When they're on the cloud, you can look at the failures. The second thing is as you recognize whatever shortcomings there are in the translation process, you can update those translations instantaneously. So there's a lot of benefits. Sort of while we're wholly protecting the customers' data and IP, you can actually give them a much better experience, and so it's one of the many benefits of doing this cloud-based engineering.
Richard Hugh Davis - Canaccord Genuity, Inc.: Great. Thanks so much.
Carl Bass - President, Chief Executive Officer & Director: Sure, Richard.
R. Scott Herren - Chief Financial Officer & Senior Vice President: Thanks, Richard.
Operator: Thank you. At this time, I'd like to turn the call back to Mr. Gennarelli for any closing remarks.
David Gennarelli - Senior Director-Investor Relations: That concludes our call today. As Carl mentioned, we have our Analyst Day, September 29 here in our Gallery in San Francisco. If you're interested in attending, please email or call me. You can get my contact information on the press release. Thanks.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes your program. You may now disconnect.